Operator: Thank you for standing by, and welcome to Woolworths Group FY '25 Full Year Earnings Announcement. [Operator Instructions] I would now like to hand the conference over to Ms. Amanda Bardwell, Managing Director and CEO of Woolworths Group. Please go ahead.
Amanda Bardwell: Good morning, everyone. Thank you for joining us today for Woolworths Group's full year results for the 2025 financial year. I would like to start by acknowledging the traditional custodians of the land on which we meet today, Darug Country, and I'd like to pay my respects to Elders past and present. Joining me this morning are Stephen Harrison, our Chief Financial Officer; Annette Karantoni, Managing Director of Woolworths Retail; Sally Copeland, Managing Director of Woolworths New Zealand, and former Managing Director of Group eComX; and Dan Hake, Managing Director of BIG W. I will start with an overview of the group's performance in F '25 and an update on our focus areas as announced in February. Steve will then cover off our financial performance before I conclude with an update on our medium-term strategic agenda and outlook for '26. While we plan to share our strategy in more detail at an Investor Day in the second half of the financial year, I wanted to provide a high-level overview of our strategic priorities this morning. Turning now to Slide 4. A number of challenges during the year resulted in a financial performance that was well below our expectations and those of our shareholders. After a highly disrupted first half, we have taken action to reposition the group for long- term sustainable growth. While there is more to do, and current trading remains below our aspirations, we have seen some early positive signs with improving customer scores. In F '25, group sales increased by a normalized 3.6% with sales momentum, excluding Petstock, improving in a after the disruption from industrial action in the Australian Food business in H1. Group EBIT declined by a normalized 12.6%, reflecting a lower earnings contribution from Australian Food and BIG W. In Australian Food, providing more value to customers facing ongoing cost of living pressures, industrial action in the first half and high wage and other cost growth led to a reduction in profit for the year. Encouragingly, we have seen improvements in customer scores in H2 as we've delivered lower prices to customers and focused on improving our everyday retail execution in areas like product availability. Excluding the impact of industrial action, incremental supply chain commissioning and dual running costs and the acquisition of Petstock in the prior year, group EBIT would have declined by a normalized 7.8%. Despite the disappointing overall group performance, eComX, media, rewards and services and New Zealand and CFD made a strong contribution during the year. Now moving to customer behavior during the year on Slide 5. Despite food prices stabilizing, cost of living pressures continue to weigh heavily on customer household budgets, particularly our saver customers. We saw a continuation of value-seeking behavior and an increasingly competitive retail environment, particularly in nonfood grocery areas like pets and babies. While customer sentiment appears to have stabilized, customers are shopping more specials with promotional penetration increasing by 3 points on the prior year. At the same time, the shift to convenience continues reflected in the growth of digital and eCommerce, with more customers using digital tools to help plan their shop and manage their budgets. In Australia, sub-60 delivery sales have tripled compared to the prior year, highlighting the importance of our rapid delivery propositions. Now on Slide 6. At our half year results, we highlighted 3 focus areas. While we have more to do, we have made good progress across these 3 areas, which I'll cover off in the next few slides. We know we need to get it right for our customers every time they shop with us. Customers have more choice than ever, and we need to make sure Woolworths is their first choice through providing great value and the best in-store and eCommerce experiences. We're improving our retail execution and have taken very deliberate steps to address the areas that matter most to our customers. In addition to offering more specials with deeper discounts and absorbing cost price increases in categories that are critical to families like meat, we launched lower shelf price in May, recognizing that pricing on some key household items have risen in recent years, reflecting cost price inflation. Customers told us they want reliable, lower shelf prices every time they shop with us. We have invested in lowering the shelf prices on around 500 everyday items increased specials and absorbed cost price increases and made our pricing clearer and easier to understand through improved in-store and online ticketing. Early customer feedback has been encouraging, with improvements in value for money, VOC NPS scores, up 4 points compared to quarter 3 F '25 with positive trends continuing in July. Food inflation has continued to moderate throughout the year and average prices have now declined year-on-year for the sixth consecutive quarter. Turning now on Slide 8 to our Everyday Rewards program. As more members connect with us, the value increases for both Everyday Rewards members and our business, over 70% of sales in food are captured by Everyday Rewards members participating in the program. The more a member engages with us, the higher the advocacy and loyalty to our retail banners. This delivers more value back to our members, and they reward us by spending more on their food budget with us. Turning now to Slide 9. One of our greatest strengths is our customer reach through our store network and leading eCommerce business. To build on this strength, we have opened 12 new supermarkets in Metro and completed 82 renewals across Australia and New Zealand, an increase of 25 compared to the prior year. A highlight was completing the renewal of our Hervey Bay supermarket, which was closed for 14 weeks after sustaining significant damage in the Queensland floods. Pickup orders fulfilled by our store network are growing faster than delivery with pickup mix reaching 42% in quarter 4. To support growing demand, we added over 200 Direct to Boot Now sites in F '25, available as part of our network of over 750 standard Direct to Boot, which sets both our customers and our rapidly growing MILKRUN deliveries. Product availability has been a key focus area and our out-of-stock box metric was up 5 points compared to Q3 and up 7 points compared to quarter 2 as we focused on improving retail execution and recovered from industrial action and weather-related disruptions. Now on Slide 10. Customers are looking for convenient ways to shop. Our eCommerce business had another strong year with Australian food eCommerce sales growing by a normalized 17.4% and driven by on-demand services like MILKRUN and Direct to Boot Now. As at quarter 4, 87% of our eCommerce orders are now fulfilled within 24 hours, and 41% of delivery orders are fulfilled within 2 hours, an increase of 6 points compared to the prior year. Our capabilities took a big step forward with the opening of Auburn eCommerce CFC in May, with capacity to serve 60,000 orders per week. The new automated CFC will free up store capacity to meet the growing demand for delivery and pickup services in the highest density catchment areas of Western Sydney. Now moving to our second priority, simplifying the way that we work. We have made key management changes and established a new structure to better align to key focus areas and our strategy. This includes the establishment of Woolworths Retail under Annette Karantoni's leadership, bringing our own brand and red meat businesses together with Woolworths supermarkets and metros. Sally Copland is now leading Woolworths New Zealand, returning from Australia, where she most recently led group eComX. We have also finalized other changes to the group's leadership team to simplify our reporting structure and increase accountability, including consolidating previously separately managed the complementary areas under the direct leadership of key executives. Amitabh Mall has been appointed as Managing Director of Group eComX in addition to his role as group digital and analytics offerer. Mike Tyquin, Managing Director of Cartology, will work with me to take our insights, media and loyalty commercialization to the next level with our suppliers. In this elevated role, Mike will report directly to me as he works with leaders across the group to orchestrate a more connected commercial insights, media and loyalty front door for our suppliers. Dan Hake will also now report directly to me to ensure that Big W has the right group to support as it progresses its turnaround. At PFD and Petstock will now report to Stephen Harrison, reflecting the material opportunity for value creation in these businesses. Now turning to Slide 12. Our productivity plan in retail businesses and supply chain is helping to offset elevated inflation in F '25. Dollar productivity benefits in store have almost doubled over the last 3 years providing some offset to a period of material wage and other comp growth. Some key examples of savings during the year include eCommerce, picking optimization initiatives to reduce the world path of personal shoppers in store and transport efficiency initiatives to optimize store delivery windows and transport routes to deliver transport savings. We are also committed to restoring a discipline of making every dollar count across Woolworths Group. As part of this, we announced a review of our above store support office structure, recognizing increasing -- increases in support office costs compared to the pre- COVID levels. We are on track to deliver $400 million in above store savings by end of the 2025 calendar year. Regrettably, this has led to some redundancies as we've reorganized management structures to reduce complexity and increase the speed of decision- making by bringing decision-makers closer to the business. We have also reviewed all above store non-team costs to ensure maximum efficiency. Turning now to Slide 13. The third priority was unlocking the full potential of the group. Over the last 6 months, we reviewed our strategic plans and potential of all businesses to ensure that they have a credible path to delivering appropriate returns. In June, we announced the closure of the MyDeal customer website by the end of September and have consolidated or exited other smaller, early- stage businesses during the year to enable greater focus on our core food business. In New Zealand, we're encouraged by the progress we're making on our multiyear transformation. This has been reflected in our improved customer scores and financial performance driven by improvements in value, fresh and eCommerce. Turning now to Slide 15. We recognized BIG W's financial performance remain materially below where it needs to be. We understand the challenges of this sector, but also recognize the opportunity in categories such as everyday, pet and health & beauty. In F '25, we have seen strong customer momentum with quarterly sales growth rates increasing sequentially. We've also seen items and transaction growth and we worked hard to reposition our range and provide more value to customers in a competitive market. We will continue to progress the transformation of the business and expect an improved results in F '26. Turning to Slide 16. Our complementary businesses are continuing to grow and are important earnings contributors to the group. Cartology, insurance, mobile and our third-party supply chain business, PC+, all delivered solid sales and profit growth in the year. Cartology was a highlight, with revenue increasing by normalized 19.5% in F '25 and with growth across all banners and channels. Finally, moving on to progress against our sustainability initiatives. On Slide 17. This year, marks the completion of our 5-year 2025 Sustainability Plan. I'm proud of the impact we've had across our key pillars of people, product and planet. Over the last 5 years, we've delivered an estimated $2.6 billion in net societal benefit through investments and initiatives addressing hunger and food waste plastic packaging, decarbonization, healthier eating and human rights. Another highlight is the improvement in our safety outcomes during the year, with a 6.2% reduction in TRIFR achieved through focused efforts on materials management and injury prevention. I'll now hand over to Steve who will cover off our financial results in more detail.
Stephen Harrison: Thank you, Amanda, and good morning, everyone. I will start on Slide 20 with the F '25 results summary for the group. As many of you will recall, F '24 included a 53rd week. So unless otherwise stated, all growth rates I referenced today will be on a normalized basis to exclude the extra week in the prior year. Group sales for F '25 increased 3.6% to $69.1 billion with sales growth in all operating segments. This includes the full year contribution from Petstock, which was acquired in January 2024. Excluding Petstock, group sales increased 2.9%. Group EBIT before significant items was $2.8 billion, a decrease of 12.6% compared to the prior year primarily reflecting lower EBIT from Australian Food and Big W. This result includes a number of one-off impacts, including the negative impact from industrial action in half 1 in Australian Food and incremental supply chain commissioning and dual running costs versus F '24 and the benefit of a full year of Petstock post the acquisition in the prior year, normalized for these impacts, group EBIT was down approximately 8%. Group NPAT attributable to equity holders of the parent entity before significant items was $1.4 billion, a decrease of 17.1%, reflecting lower group EBIT and higher financing costs in the year, somewhat offset by lower tax. Group ROFE was 13.7% in F '25, a decline of 194 basis points compared to the prior year due to lower group EBIT. Turning to Slide 21 and our group trading performance. Starting with Australian Food. Total sales for the year were $51.5 billion, an increase of 3.1%, benefiting from continued strong eCommerce growth of 17.4%. Excluding tobacco, Australian Food sales increased 4.5%, reflecting the recovery from industrial action in H1 and more consistent trading. Sales momentum improved in the second half with sales growth of 3.5% or 5% excluding tobacco. Within Australian Food, WooliesX sales increased 15.9%, driven by eCommerce continued growth from Cartology and a solid performance from our everyday insurance and mobile business. Australian Food EBIT declined 10.5% in F '25 and by 8.1% in half 2. Excluding the impact of industrial action in half 1 and incremental supply chain commissioning and dual running costs, normalized EBIT would have been 5% -- sorry, would have declined by 5% in the year. In Woolworths Food Retail, which is the combination of our stores and eCommerce business, EBIT declined by 13.3%. While the impact of cost inflation and price investment on gross margin moderated somewhere in the second half, this was offset by adverse stock loss trends in half 2. Wage increases, which were partially offset by solid productivity in the year, together with a lower mix of in-store sales and higher D&A impacted EBIT in the year, reflecting the strong eCommerce sales growth and growing contribution from Cartology rewards in our everyday services businesses, WooliesX profitability grew ahead of sales, increasing by 27.5% in F '25 and with DAP and EBIT margin growing by 40 basis points compared to the prior year to 4.5%. Australian B2B sales for F '25 increased by 4.1%, with half 2 sales increasing by 2.7% with a slower growth in half 2 largely due to softer sales in SOW and the scale back of Australian grocery wholesales. Full year sales growth was largely driven by B2B food with PFD sales up 6.9%. B2B EBIT increased by 15.8% in the year, with growth driven by double-digit earnings growth in both PFD and PC+ and half 2, EBIT increased by 24.4% on the prior year. New Zealand sales increased by 3.4% in F '25 and 4.1% in half 2 in New Zealand dollars, driven by item growth and eCommerce momentum as good progress was made against transformation initiatives across the year. This translated into a strong EBIT performance increasing by 40.6% in F '25 and by 91% in second half. Total W Living sales increased by 9.9% in F '25 and 3.2% half 2, largely reflecting the full year contribution of Petstock compared to a half year in F '24. Excluding Petstock, W Living sales increased by 1.6% for the full year. W Living recorded a loss of $63 million in F '25 compared to a loss of $29 million in the prior year, with BIG W losses the key driver of the decline, somewhat offset by the full year impact of Petstock. BIG W full year sales increased by 1.1% with half 2 sales up 3.1%, supported by improving customer momentum over the year and a successful toy sale. Volume increases were driven by a more affordable range and seasonal clearance, leading to lower ASP, which impacted gross margin and resulted in a full year loss of $35 million. Petstock sales increased by over 100% compared to the prior year reflecting a full year of ownership. Half 2 sales increased by 1.7% on a reported basis. However, excluding the impact of divestments, comparable sales increased by approximately 5%, driven by strong growth in owned brand pet food and eCommerce growth. EBIT increased in F '25 by 57.8% to $44 million with a similar earnings contribution in both halves. Our other segment includes group functions such as property, group overheads and Woolworths' investment in Quantium. The segment resulted in a loss before interest and tax of $211 million, an increase of $91 million versus last year, with the variance largely driven by the inclusion of the group's share of profits from its investment in Endeavour last year and lower gains on the disposal of properties in the current year. The group also reported a significant item loss before tax of $569 million in F '25 related to the impairment of BIG W of $346 million, MyDeal impairment and closure costs of $52 million, Healthylife impairment of $17 million. And in addition to this, a cost of $146 million was recognized relating to team member redundancies and restructuring costs as part of the group's support office savings program and the reset of the store operating model in New Zealand. Moving now to Slide 22 and our key balance sheet metrics. Average inventory days were up 1.6 days on the prior year, reflecting an increase in investment in inventory across key lines to improve availability, including elevated inventory levels in advance of the industrial action in half 1 and the earlier receipt of BIG W seasonal inventory. Despite a decline in closing payable days, reflecting payment timing differences in New Zealand, average payable days were down 3.3 days in F '25 largely driven by the timing of payments related for the impact of the retail calendar from the 53rd week in F '24. ROFE of 13.7% was down 194 basis points, reflecting lower group EBIT. Pleasingly, Australian B2B ROFE increased by 176 basis points to 10.8%, reflecting the strong profit growth in this segment. Moving to Slide 23. This slide is a reminder of our capital management framework. Group generated strong operating cash flows in the year due to favorable working capital movements which were invested into sustaining our assets, growth initiatives and maintaining a dividend for shareholders at the higher end of our payout ratio, and I'll provide some more color on the following pages. Moving to Slide 24 and our cash flow. The group generated operating cash flow before interest impact of $6.2 billion in F '25 up, an increase of 5.3%. This was driven by favorable working capital movements more than offsetting a decline in EBITDA for the year. The positive movement in working capital in the year reflects an increase in trade payables driven by the timing of payments in New Zealand Food together with higher provisions and accruals. Cash interest costs increased 41.3% and driven by higher average debt across the year. Cash used in investing activities of $1.9 billion was 15.4% lower than the prior year, reflecting the cycling of the Petstock acquisition in and I'll provide more detail on CapEx on the next slide. Cash flow before lease payments and dividends of $2.6 billion was up 26% on the prior year. The group $422 million for the purchase of additional equity interest in subsidiaries, largely driven by the acquisition of the remaining 35% interest in CFD in the year. Dividends and payments for shares held in trust of $1.7 billion for the year included the payment of a $0.40 special dividend from the prior year. And finally, our cash realization ratio was 103%, reflecting the favorable movement in working capital during the year. On to Slide 25, operating CapEx for F '25 was $2 billion, broadly in line with the prior year, reflecting increased spend on renewals, offset by lower supply chain CapEx in the year. The small increase in growth CapEx compared to the prior year reflects higher spend in eCommerce, including the Auburn CFC, which went live in Q4. As you can see from the additional detail on the slide, CapEx was relatively has been relatively stable for the last 4 years and declined as a percentage of sale over that time. And in F '26, we expect operating CapEx to be approximately $2 billion, broadly in line with F '25. Moving now to an update on our supply chain on Slide 26. Our New South Wales supply chain transformation reached a number of important milestones in F '25 with the opening of the Moorebank National Distribution Center in November, and the opening of the Auburn CFC in May. The Moorebank regional distribution center is also nearing completion is on track to open at the end of the calendar year. This will complete the renewal of our ambient supply chain in New South Wales and together with the MSRDC in Melbourne, our 2 major markets in Australia will be served by modern, efficient and highly automated supply chain. We continue to expect double-digit return on the investment in these sites in New South Wales. Construction has also commenced on a new semi-automated chilled fresh distribution center in Sydney, which will complete the transformation of the supply chain in New South Wales, our largest market. This aligns with our fresh food strategy in this temperature controlled site will materially enhance fresh quality for our customers, add capacity for future growth to deliver benefits from automation and reduce transportation costs, given the strategic location in Eastern Creek. We've also announced the construction of a new automated CFC in Melbourne North to provide increased capacity to service the growing demand for eCommerce in Melbourne following the compulsory acquisition of the Notting Hill CFC. This new CFC will also use the same proven technology as our Auburn facility. Moving to Slide 27. As previously guided, group expects F 26 supply chain commissioning, transition and dual running costs to be broadly in line with F '25, which was approximately $110 million. Implementation and dual-running costs in F '27 are now expected to be similar to F '26 given the incremental costs associated with the commissioning of Sydney Chilled and Fresh and Melbourne North. However, we expect these costs will be materially offset by benefits from Moorebank and Auburn in F '27. In F '28, the facilities will deliver net benefits. In [ F '26 ] we expect double-digit ROFE in aggregate across all 3 DCs and the CFC. Moving finally to Slide 28 and dividends and funding. The Board today approved a final dividend of $0.45 per share, bringing the total ordinary dividend for the year to $0.84. And with the full year payout ratio of 74.1%. Moving to our balance sheet settings. Net debt to EBITDA was 2.8x compared to 2.6x in F '24 and remained well within our leverage threshold. We remain committed to solid investment credit ratings and have significant headroom under our current ratings of BBB from S&P and Baa2 from Moody's. In F '25, the group completed $5 billion of debt refinancing, including $1 billion of domestic medium-term notes and EUR 500 million of euro medium-term note with the balance related to bank debt with proceeds used to refinance maturing bonds and facilities. Thank you. And with that, I will now hand back to Amanda.
Amanda Bardwell: Thanks, Steve. Before I turn to current trading and outlook, I wanted to provide a brief update on our strategy and introduce our priorities for the medium term. Turning to Slide 32. We are an everyday retail group and banked in the strength of our food business. It all starts with food, and that is what we're famous for. Our thriving food business provides a strong platform for the group's success and we want to return to leadership here. We've already made decisions over the last 6 months that will enable greater focus on our food business going forward. With food as the cornerstone and Everyday Rewards connecting, we have complementary service businesses that support our retail businesses but also provide the opportunity for material third-party growth over the medium term. Our retail and service businesses are enabled by our network and capabilities which leverage our group scale. Turning to Slide 33. We have world-class assets across our group that give us unique competitive advantage and significant potential. These include the strength of our retail brands, our large customer base leading loyalty program, expansive digital, data and AI capability, our wide-ranging network and retail assets and our experienced team who cares deeply about getting it right for customers every single day. While we're operating in a highly competitive market, these strengths give me absolute confidence in our ability to deliver long-term sustainable growth for shareholders. F '25 was a year of significant disruption, but we've taken action to set the business up for the medium term. Looking ahead over the next few years, we're focused on 3 key medium-term strategic priorities. Starting with the most important, we want to be the first choice for customers for the freshest Australian food. Second, we need to address underperformance in New Zealand Food and BIG W by improving returns. Finally, we will grow our complementary businesses and services to support our longer-term growth aspiration. Before I talk about each priority in detail, let me outline the things we need to consistently get right across all of our businesses to enable our strategy. Turning to Slide 36. Firstly, delivering consistently good customer and retail excellence will remain an imperative. Within that, establishing price trust continues to be our greatest priority. As of now, we have around 700 lines under the Lower Shelf Program with comes will benefit from significant shelf price reductions. In addition today, we launched our Spring Price campaign where we have reduced the price on more than 300 items for the duration of the spring season. We have more to do to get the retail fundamental consistently rise every day, including stock loss. Unfortunately, we have seen a rise in acts of violence and aggression against our team, which is frankly unacceptable. As a result, we have increased our investment in a variety of installed security measures and training. We know that we need to embed simpler ways of working through a simple operating model and increasing accountability and improved ways of working. Making every dollar count is about restoring a lower cost discipline across the group, elevating importance of capital discipline and managing our costs through the delivery of our productivity agenda and realizing benefits from investments. We expect this will be an always-on priority in the years to come. These will be underpinned by our leading loyalty, tech and AI capabilities, which will transform the customer experience as well as enabling our team to make better decisions. Turning to Slide 37. Our key priority is becoming first choice for freshest Australian food. We know we need to make meaningful shifts to customers to put us first in food. We're determined to win in fresh, convenience and range, while delivering meaningful value and executing consistently well. It all starts with fresh. Fresh is the gateway where the supermarket shop begins and we have the capability to improve freshness and range and showcase our fresh offer through merchandising and through our passionate team. Customers already recognized our range, but in some categories, we can make it easier to shop while better meeting local customer preferences. Own Brand has grown strongly in recent years delivering value for customers that clearer price tiering and an expanded better range, improved quality and more choice in growing areas like ready meals, will meet more of our customers' needs. We want to continue to lead in eCommerce and convenience and experience our Express delivery and pick up coverage, personalize and improve customer experiences by leveraging data and AI, and maintain a modern store network that is close to our customers. We have an incredible business in MILKRUN that we expect will continue to grow rapidly. While we know our prices are competitive, our value perception has deteriorated over the last couple of years as many everyday items have risen in price through a period of high cost price inflation. We are committed to lowering prices where possible, restoring a more balanced mix of everyday low prices with specials and making our price communication easier to understand. Finally, we need to excel on retail execution by delivering consistently good experiences every time customers shop with us. One of our key execution priorities is to improve the profitability of our scaled and fast-growing key commerce business. Moving now to Slide 38. Our second priority, which is to improve returns in New Zealand Food and BIG W, while our transformation initiatives in New Zealand delivered encouraging results of F '25, EBIT margins and returns remain well below our aspirations. We want to build on the momentum to return to double-digit ROFE over the medium term. In BIG W, we need to sustainably improve performance in a highly competitive market and build on areas of strength. We have strengthened capabilities through the new leader appointments and are taking the right steps to reposition our range to provide better quality and more affordable options and are providing more options to customers through eCommerce and marketplace. We expect an improved performance in F '26. And going forward, we want to ensure BIG W has the appropriate foundation to be successful. We will also begin the transition for BIG W onto its own fit-for-purpose technology platform that is appropriate for a discount department store and it's the right thing to do for BIG W and the group. Turning to Slide 39. Our third priority is to grow our complementary businesses and services. This includes PFD and Petstock as well as our group-wide services businesses such as Cartology, Everyday and Primary Connect. PFD and Petstock have material opportunities to leverage the group's capabilities to grow and create value in the fragmented segments. Cartology, Everyday and PC + our established capital-light businesses, leveraging group assets to provide services to suppliers and customers while also offering significant third-party revenue and earnings growth. Finally, turning to Slide 40. We want to be clear with the market on our medium- to long-term financial aspirations. Through sustainable growth in Woolworths Retail, supplemented by high growth from our complementary businesses and services, we expect to deliver mid- to high single-digit EBIT growth and solid free cash flow growth. With a strong balance sheet, disciplined capital allocation, including no material M&A and a payout ratio of between 70% and 75% of earnings. We are confident that we can deliver double-digit TSR. Turning to Slide 42. And now talking to our current trading outlook. In the first 8 weeks of F '26, Woolworths Retail total sales increased by 2.1%. Excluding tobacco, total sales increased by 4%, with eCommerce sales remaining strong. New Zealand sale growth in the first 8 weeks has been impacted by short-term competitive promotional activity with sales increasing by 2.6%. And in BIG W, sales were broadly flat, cycling significant clearance activity in the prior year. On outlook, we expect Australian Food to return to mid- to high single-digit reported EBIT growth in F '26, driven by progress on our strategic priorities, benefits of our above-store cost savings, cycling one-off items in the prior year and a more stable operating environment. However, we are also facing some near-term challenges, which will impact including a material acceleration in the decline of tobacco sales and an expected impact of $80 million to $100 million, and costs related to the end-of-life replacement of core retail systems, like UKG which is the Kronos Workforce Management System of approximately $60 million. We will continue to lower prices where required to restore price perception through a more balanced mix of Everyday Low Prices and specials. Investment in lowering prices through our lower shelf program is expected to have an annualized impact of over $100 million in F '26. While sales growth remains below our an ambition, we are confident that the improvement in customer scores we're seeing will lead to an improved trading performance. In summary, we expect an improved financial performance in F '26 driven by Australian Food, a continued recovery in New Zealand Food and a return to profitability in BIG W. However, F '26 will be a transitional year as we focus on rebuilding momentum and restoring customer trust. Over the medium term, our ambition is to deliver sustainable mid- to high single-digit EBIT growth through consistent growth from Woolworths Retail, improved profits from New Zealand Food and BIG W, and incremental growth from our complementary businesses and services. Together, this will support our double-digit total shareholder return aspiration. We will continue to build customer trust through compelling value and retail execution excellence, simplifying the way that we work and become a more focused, lower-cost retailer with a differentiated food offer at our core. Some of this will take time, but I'm confident that the strength of our brands, assets and team will see us deliver a much improved performance. I look forward to reporting back on our progress in the coming months. I will now turn the call over to the operator for questions. To give everyone a chance, can I please ask that you limit it to 1 question per person and then rejoin the queue with any follow-up questions. Thank you.
Operator: [Operator Instructions] First question today comes from Adrian Lemme at Citi.
Adrian Lemme: I just wanted to pick up on your comments about wanting to improve the profitability of online. Should we take this as a sign that you're open to introducing a service fee for regular click and collect? And is there any other things you're looking to do to improve online profitability, please?
Amanda Bardwell: Thanks, Adrian, for that question. As you know, our eCommerce business, we're delighted with the scale of the e-business and, in particular, the loyalty that, that generates certainly offers like our Delivery Unlimited subscription. And as you know, we also see with our eCommerce customers that they shop our stores and on average, went about 2.2x more than a customer who only shops stores. So they're incredibly valuable, important customers for us. We do believe that we can continue to improve the profitability of our eCommerce business with a number of different things. Of course, it's scale, but it's also the opportunity that we have to continue to optimize the way in which we pick and pack and deliver our orders for customers. And in the year that's just gone, we've made some substantial improvements in terms of picking path, for example, throughout our network and the introduction of some further algorithms to make actually that pick path the team a lot, lot shorter with a 15% improvement that we're seeing from some of those initiatives flow through. So we want to continue to see as we go forward in this year, how we can continue to optimize picking and packing, optimize the last mile in terms of the routing and deliveries but also upfront in terms of the way in which our customer is shopping with us. We have this fabulous opportunity to be utilizing our personalization capability and help customers and items to baskets. And we know that our eCommerce customers use our lists in shopping and as a result of a more items. So it's really a case for ourselves continuing to grow our overall share of wallet with our eCommerce and in-store customers, continuing to optimize the way in which we can most efficiently deliver picking and packing across our store network. And of course, we have Auburn now live as well. And then in the last mile continuing to do that. In terms of your specific question on service fees. We already, as you know, charge customers on the basis of convenience and we'll continue to optimize those settings as we go forward. And I think that's what is important is these are services that our customers value. And as a result, certainly demonstrate a willingness to pay for a good, consistent service, and that we'll continue to review that as we go forward.
Operator: Your next question comes from Michael Simotas at Jefferies.
Michael Simotas: Look, you're clearly lagging your major competitor by a fairly large margin, probably the largest margin we've seen in quite some time. Historically, it takes a lot of investment to turn these businesses around. And we've seen that a couple of times over the last 10 or 15 years from Coles and Woolworths. What gives you confidence that you've set aside enough investment to drive the consumer perception and outcomes that you need to? And I'll pick up on point you made, Amanda, about $100 million of price investment through the P&L in FY '26. Doesn't actually sound like that big a number, and I'm not sure that is any more than what your competitors got planned based on what they had to say yesterday, noting it's only about 20 basis points. of your sales in your Australian Food business?
Amanda Bardwell: Thanks, Michael, for that question. I'll start by saying what we're focused on and what we've called out today is setting the business up for the mid to long term and ensuring that we deliver for our shareholders a sustainable returns at the levels that we expect and they expect. And so this is about a long-term strategy for us. And importantly, in the first half, we called out that we want to see a better balance in terms of everyday low pricing and lower shelf and our specials program. And we shared today also that we've seen some really pleasing early signs our customers recognizing increased value for money at Woolworths. As you rightly call out, it takes time for that to translate through into momentum. And in terms of our overall tracking of customer sentiment, voice of customer, their engagement with lower shelf prices, we're certainly very pleased with the momentum that we see there. And we know that what we're importantly doing is listening to what customers are telling us, which is they want reliable and consistent pricing with some specials but they want reliable and consistent pricing, and that's what we're focused on delivery but that will take time to translate through to momentum.
Operator: Your next question comes from David Errington at Bank of America.
David Errington: Amanda, and this is probably directed to Steve more so, but I'd love to hear your comments as well because I think if you're doing a strategic review, you probably need to take into account the amount of money you're putting into this business. But Steve, if we go to Slide 25 with your CapEx. Now I've been a little quiet on this in the last couple of years, but I've been worried about this for about 10 years, if you like, and how much money goes into this business. Now I just want to bring onto the record a couple of numbers. FY '23 your food EBIT, I think, was $2,865 million. This year, it's $2,753 million . Coles' EBIT was $1765 million. Last -- yesterday, they reported was $2,108 million. So your EBIT has gone backwards by 4%, and Coles has gone up by 20%. Now they don't spend anywhere near the amount of money that you're spending. Can we please delve into today what the sustaining CapEx is this $1.5 billion that you spend every year on sustaining CapEx because what I'm worried about, Steve, I'm not making an allegation please. This is not an allegation, it's a question. Should a very large chunk of that sustaining CapEx be part of your P&L because I'm worried that your P&L, your profit is overstated because a large chunk of this sustaining CapEx should actually be OpEx. Now can you go into that, please, like IT. Now IT, you're spending nearly $300 million, you're chewing up an extra $60 million or whatever it is because of this replacement of this retail system. What's the supply chain? What's this productivity? What's the stay-in-business? There's almost $1 billion in what could arguably OpEx, which means that your profit should be a lot lower than what you're actually reporting because what you're treating is CapEx should actually be OpEx. So can you give us a bit of color there, please? Because it's come to a time today. Today's result is disappointed the market so much. And I can't understand why it's so disappointing given how much money you're putting into this business. So if you could give us a bit of color on what the sustaining CapEx is, please, and to justify why it is CapEx and why it's not OpEx, that would be really appreciated.
Stephen Harrison: Thanks, David, and I appreciate the feedback and the comments, and I share your sentiment in terms of not being happy about the earnings result compared to where we were 2 or 3 years ago. As to your question on the capital and should it be in the P&L, we look very carefully at what we capitalize and are very strict about only capitalizing things that have future cash flows. And so we have referenced some more OpEx going through the P&L on systems replacement because actually, as you move to SaaS platforms, there are more of those costs that do need to go through the P&L on and we've called that out for F '26. But what is going in here are specifically assets that will have future cash flow value and drive value in the organization or our replacement of existing assets. Bearing in mind, this is a spend across the group and so any comparison to other retailers or our newest competitor in Australian Food needs to be in comparison to the spend in Australian Food business. In terms of the components of the spend, though, areas like supply chain, we've got long-dated programs of work that are replacing assets that have been used for 20, 30 years, right? And so we do have an elevated degree of spend in supply chain at the moment as we're finishing the Moorebank program and modernizing our fresh supply chain in New South Wales, like the Fresh Food people having a quality fresh supply chain is imperative. And so these are long-dated investments. We don't like the fact that you spend the capital for a number of years before you get the benefit, but we do believe that we will get a benefit. And we actually look forward to taking around some of our facilities, both supply chain -- the supply chain automation and some of the eCommerce automation hopefully later in the year. But clearly, assets' there. From a technology perspective, you do see both in IT and digital investment in systems. And increasingly, we use more technology across the organization. So for example, when we're spending money on electronic shelf labels, that's clearly an asset. You see it in the store. It shows the price, just a small example, but it comes with investment in capital. And I think one of things I'd point out is we've been very disciplined on the asset lives, and we're seeing particularly in technology where there's a shorter life cycle and in digital, much shorter asset lives. And so you see that in our growing depreciation. So we do see all these costs in our P&L but they come to match, in theory, the cash generated from the investment. In terms of SIB, we have refrigeration, we have chicken cookers, we have deli slices. There's all sorts of sorts of equipment that sits across our stores, and they are replaced based on the life of that asset that -- when you've got an 1,100 store fleet in Australia and just under 200 in New Zealand, there is a lot of cost of just the replacement of existing equipment. And then, of course, we've got our renewal program, which is the modernization of our fleet. And in many ways, it is the representation of the brand experience for the customer who shops there 2 to 3 times a week. And so we've been committed to ongoing investment in renewals and because we only really touch a store between 7 and 10 years average age, depending on the amount of traffic that goes through the store and the size of the store. But you need to set it up for the next decade, and that often requires a replacement of particularly things like a refrigeration that might run on a 20-year life cycle. So we're confident that we're not putting things that should be in the P&L in CapEx. Actually, we're very disciplined on that. And we do take the costs through the P&L in depreciation which is getting shorter, and we're quite strict on actually the life of our assets. I mean ultimately, your question is are we getting the returns from this investment, right? And the results in the current year are not where they need to be. And we do look at it very closely the investments we make and the returns that we're delivering. And clearly, they're not where they need to be, but you would have seen today in the guidance and indication of our sort of financial frameworks at the back of the pack. We're very focused on ensuring that we do deliver acceptable and strong and reasonable returns from our investments and our expectation of growing returns every year as is what our aspiration is. We want to grow that for our shareholders. And we would expect that these investments should be facilitating that. I don't know, Amanda, if you want to add any builds to that?
Amanda Bardwell: Steve, I would just say that what we've also called out is clearly a focus on cost and capital discipline going forward. And so of course, that's always been in place, but we are very clear with our team that we need to uplift our focus across the board on that. We're very focused on it.
Operator: Your next question comes from Bryan Raymond at JPMorgan.
Bryan Raymond: My question is around in-store execution. I think the online growth is still at a healthy run rate and given the profitability in that channel. I think it's relatively comfortable even though it's lagging Coles. I think where I'm a bit more cautious is around your bricks- and-mortar growth? And in particular, feedback I'm getting from suppliers around in-store execution dropping away a little bit. You've had some changes in your commercial team as well, which coincided with this drop off in sales in July, August, I'm not sure if they're related. But I'd just be interested in your thoughts or your assessment on what's -- how in-store execution looks, how it compares to your competitor and what you can do to address this bricks and mortar underperformance?
Amanda Bardwell: Yes. Thanks, Bryan, for that question. Look, I'd start firstly with how our customers are assessing us in terms of our in-store execution. And as we've called out today, we're seeing certainly over the last half and including into the first 8 weeks and improving Voice of Customer scores and they're on really important part of, as you know, and customers' determination as to where they shop. On value for money, we've called out substantial improvement actually in terms of Voice of Customer on that score. And then on availability, we obviously came out of the industrial action and into the second half, and we've seen ever-improving availability scores. And I'll look at that in 2 different ways. One is on, with regards to the voice of customer scores, which are up substantially quarter 3 to quarter 4. But also just looking at our overall service levels, which are at an overall level back to pre-COVID levels. So with that, though, what I would call out, and I very much focused on the execution, if there are certain times of the week, and I'd call out Sunday and Sunday afternoon in particular, and Annette you might comment some more on this, where we've got a high volume of customers, particularly shopping in stores and online. And we do need to in certain stores do better in terms of availability on the Sunday afternoon and into the Monday. And then there are some promotional activations, which, again, we're very focused on. But I'd say their pockets, Bryan. It's not right across the network. There are certain times of the day and certain campaigns. But I'm just looking at Annette Karantoni, who we're delighted is now leading our W Retail business. Annette, were there any other comments you wanted to add?
Annette Karantoni: No, thanks, Amanda. I think I'd reinforce our customer scores are actually showing really good momentum, and you've called out a number of them. I just check out wait times. We're really seeing positive momentum and the quality of our fruit and veg. So actually, our Voice of Customer score is definitely going in the right direction. I would also call out though that in-store execution starts well before the store. And so there's a really big focus from the team around end-to-end delivery of both our BAU, our business as usual activity as well as our activity that we have in terms of promotional execution excellence. We actually ordered our stores. We do a random selection of over 200 stores every fortnight. And we've seen those scores actually improve week on week, and that's very important to our supplier base who we collaborate very strongly with on some of that promotional activity. So we have seen really good momentum coming out of in-store execution, but I would say it does start well before the store and we're very focused on making sure we get it right end-to-end and we'll continue moving forward.
Bryan Raymond: So I appreciate the Voice of the Customer scores is holding up, but it's not translating into sales. I know things take time. But if it's not execution, what do you think it is? I mean, the gap is very wide, as Michael mentioned earlier, I just feel like I'm missing something here in terms of what's driving this differential. If it's not that, what do you think it might be that's why you underperformed?
Amanda Bardwell: Yes. Thanks, Bryan. I would -- that's almost a second question, but I understand why you're asking it. Let me just talk through sales flow and how we've seen it across the half. In Australian Food, we came out of that quarter 2 and saw actually a relatively solid performance in terms of sales and unit growth. And now we had, as you know, a non-comp collectible running, so we should expect to see that. And then as we've come into quarter 4, really, what we've seen is we were very happy with the Easter trading and performance of Easter. And as we've come through, we have started to see a little bit of softening as you call out in terms of that performance in quarter 4 and into the first 8 weeks of the year. We've got a lot of change happening at Woolworths, which you know. But we've also seen in terms of our first 8 weeks, we were running a Disney collectible and frankly, that hasn't performed at the levels that we would have expected. We also, on the prior year, had some really incredible results out of some of our everyday needs activations and in particular, Enko Beauty, just shot the lights out in terms of its prior year performance. So we're cycling some of that. And then it is an incredibly competitive market right now. I just want to be very clear. This performance is not in line with the aspirations. We aspire to be growing in Woolworths Food in line with market growth and ideally above. And so there is more work for us to do to build on the momentum we have. We're setting up for the long-term year. We don't want to be getting into a situation where we've got lots of short-term action being taken that doesn't actually set this business up from mid- to long-term success. So yes, we've got work to do, but we've also got what I think is incredibly important. A very focused team. Our frontline team haven't had a stronger voice of team scores for a very long time. So they're feeling actually, frankly, good about how we're supporting them. And we need to just build on those positive scores we're seeing from our customers in terms of their experience with us.
Operator: Your next question comes from James Meares at UBS.
Shaun Robert Cousins: It's Shaun Cousins here. Just curious around cost savings. Just how the $400 million is split sort of by division and maybe how you could think about that between be it headcount, goods not for resale and other programs. And just going to your earlier point, Amanda, around thinking about the business and long-term success, is there enough ambition on cost why not increase this to $800 million to $1 billion? We see Woolworths as having a larger head count relative to its sales and earnings compared to Coles. There are some tweaks with that there. But I'm not convinced that Woolworths currently represents the lean organization that I think it arguably had when we first looked at company, say, in the 2000s where Everyday Low price is required Everyday Low Cost. I'm just curious around, are you being ambitious enough on costs and then there's some details around the $400 million you provided that you announced initially in February, please?
Amanda Bardwell: Yes. Thanks, Shaun, for that question. So firstly, I would say, when we announced the $400 million, we were announcing that publicly as a clear signal of our intention to have a very strong focus and discipline on managing a lost business on the go forward. And it was also about clearly demonstrating that we understand the business has become more complex over the last couple of years, and there's an opportunity for us to simplify that, which we obviously went about doing over the last couple of months. As we have restructured the organization, consolidated a number of leadership roles and regrettably seeing a number of redundancies flow through. We've also that, as you know, as part of that $400 million that we committed to also went right through a lot of our goods for not resale areas reviewed and reduced our costs in that space. In terms of our ambition on the go forward, we're really clear as the executive team and in the Woolworths group. But to be successful in the mid- to long term, we need to be a lower-cost business. And that means that each and every year, we need to be delivering the right level of cost profile. I think we do this very well in our stores and supply chain where we deliver strong levels of productivity year after year, and we've shared with you today how some of those numbers have consistently over the last couple of years, growing year-on-year. Our above store teams are clear that the expectation going forward is that we continue to look constantly and always on way to reduce our costs because that is exactly to your point, how it is that we continue to be able to invest in lower prices for our customers and deliver on the expectations that our shareholders have with us. So we are very clear on how important it is for us to run at a lower cost business. We're focused on it. And we will continue to look for opportunities as we go forward to seek cost savings right across the business. I couldn't agree more.
Operator: Your next question comes from Craig Woolford at MST Marquee.
Craig John Woolford: I'd like to ask about the price investment. Obviously, you're using some other measures like Voice of Customer scores. But how do you know that the price investment you made is enough. The sales results would suggest otherwise. Do you need to make a bigger price investment to improve the sales backdrop?
Amanda Bardwell: Yes. Thanks, Craig. Well, I won't repeat what I've already shared in terms of the positive sentiment we're seeing from customers who are looking for that more consistent and reliable shelf prices. What I would also add to the comments I've already made is we're seeing really strong unit growth coming out of the program thus far which tells us that it's absolutely resonating with customers, particularly our favor customers and families. And we're very, very deliberately in those early lines in the May release focused on key lines that matter for family baskets so that our customers would be able to see that when they're looking at the total for their shop because that's ultimately the way in which most customers assess value for money, yes, at an individual item but also at the total shop level. We'll continue to monitor the performance of lower shelf prices. As you know, we've launched in the tranche recently. But right now, we're comfortable that we've got the right program, the right focus and we'll continue to run that alongside our specials program. So at this stage, we've said we've got over $100 million invested in the program, which, of course, was primarily our own brands. and we'll continue to look to increase certainly the visibility of that across our stores. I'm just looking at Annette Karantoni. Was there any other comments, Annette, you want to add there?
Annette Karantoni: Just to that point around Own Brand, I think, Amanda, that first tranche the shape of those products was mostly invested by Woolworths. We're actually seeing our supplier partners really interested in the program and in the second tranche, the split between Own Brand and our vendor partners was actually much higher towards our branded products. But we have seen really strong item growth, as you mentioned, right across that program is at higher than the average growth across the business. And in particular, in some of our fresh categories. So it's been a very successful, much more to do, but so far, a really good investment.
Amanda Bardwell: Yes, absolutely. Thanks, Annette. And I would just close by saying this is about setting up price trust for the long term. And that is going to take Craig some time to flow through as you know and would have seen in the past.
Craig John Woolford: Are you judging that price trust through the VOC scores or ultimately, I would say sales is the best measure?
Amanda Bardwell: Sales is absolutely an important measure, and clearly, we need the right level of momentum for the business. But you can generate sales in many different ways. And it wouldn't have been -- this time last year, we would have been talking about whether or not we had a healthy sales activation shape in terms of the number of specials and the like that we're running. What we're focused on is making sure that we've got the right sustainable shape going forward in terms of those key sales drivers. But as I say, it will take time for that to flow through.
Operator: Your next question comes from Phil Kimber at E&P Capital.
Phillip Kimber: Amanda, just following on from that, if we take away your comment about all the changes over the last little period that are obviously impacting food sales. I mean, if we step back and look at it, I think I'm pretty sure that Woolies on average has more SKUs. So then its largest competitor and is probably seen as not just as focused on price and maybe not as simple an offer. Do you think that is an issue, particularly in the current environment and maybe something that needs to change that you actually need to reduce your range and maybe simplify it a little bit more, which will help that perception issue?
Amanda Bardwell: Yes. Thanks, Phil, for that question. The range is an important differentiator for us. We do carry a larger range than our competitors are both supermarket competitors, but also many of our nontraditional competitors as well. As we've looked at customer sentiment but also the economics of the business, we do recognize that there's a real opportunity to simplify our range but still tailoring for local communities. And so you're absolutely right. As we go forward, we will be optimizing our range. I don't know, Annette, you've been doing a lot of work with the team on this topic?
Annette Karantoni: Yes. We've been doing a lot of background work to understand where we think we'd like to take out and optimize the range. I think it's very specific to individual category. So it's quite hard to share an overall range reduction. It's just -- it doesn't quite work that way, particularly to make sure we hold that diversity for our customers that we do need. But across the range universe we do see an overall reduction over the course of the next 6 to 12 months. But I would say in some categories, just more than others so that we make sure we still hold the range that our customers come to us for.
Operator: Your next question comes from Ben Gilbert at Jarden.
Ben Gilbert: Just thinking just to the customer. If you look at which cohorts you aren't doing well enough in at the moment, I'd be really interested to know because it's -- I appreciate you're not running your business directly against Coles, but their comp rate doubled in Q4 and yours was flat and then your items per basket on a like-like basis went backwards. And it looks like there's a picked up and obviously be gap for the trading update. Is there certain cohorts where you're just not winning? And I suppose I'm trying to understand, is it families? Is it the big basket shoppers because it's -- you've got both Chem Warehouse and Coles have talked up accelerating Q4 trends and into fiscal '26 and yours are sort of pretty stagnant. So just trying to understand when you're talking to the customer, what is the issue? Is it a certain cohort? Is it ongoing leakage? Is it price perception? What is the issue? And how do you get back to basics and get them engaging and spending more with you?
Amanda Bardwell: Yes. Thank you, Ben, for that. What I would say is that certainly, when we looked at this, yes, it's certainly a young family and young couples who are under the most pressure when it comes to cost of living, and that continued to be the case even though we've seen some consumer confidence improved. And so there, the group that we've been particularly focused on, so our lower shelf program has been focused on particularly families. But as we look at the specific cohorts, we're not necessarily seeing a vast difference between them. I would say that the way in which different cohorts engage with categories certainly differ. And so that's something that we're focused on with things like our Everyday Rewards loyalty program and the like being able to make sure that we're engaging with particular cohorts against the categories that we know they might not be shopping us as frequently. And we've talked -- as you've called out there a lot in the last year about everyday needs and the extreme competition that's happening in that space. I'd also say that less about customer cohorts and more about the different state profiles, Victoria and New South Wales certainly are the more challenged states for us as well. So it's not consistent right across the country. There are particular regional aspects to this that we're also observing.
Ben Gilbert: So when you sort of say the Kantar, Circana or Nielsen lens, you obviously get pretty good visibility on spending on, say, Coles customer versus your customer. Are there areas where you're seeing a particular shift to cost? I'm just trying to understand why the gap is expanding when in theory, you put more money back into price, you spent the money on the stores? It feels a bit counter, but there's obviously something that consumers have not seen at your store at the moment is making them go elsewhere?
Amanda Bardwell: Yes. So I wouldn't speak to the specifics of the tracking that we do in that regard. But I'd again just reiterate we've made an important move on lower shelf prices. But that was always about a long-term investment in providing reliable, consistent shelf prices and continuing to build price trust after a very disruptive 12 or 18 months. And so that will take time to flow through. It is a really competitive market. And certainly, when we look at our overall promotional programs, we're satisfied that we've got a strong program. But there's a lot of over and above activity that's happening across the marketplace that if you're seeking value, I would say many customers might be taking the opportunity to tap into some of those. I don't think that that's a sustainable for those competitors. But certainly, we're very focused on making sure that we've got consistent reliable prices, a good promotional program a good experience when you come to a store and then we differentiate on things like fresh, convenience, continue to lead in eCommerce, and of course, execute that well.
Operator: Your next question comes from Tom Kierath at Barrenjoey.
Thomas Kierath: Just you mentioned there that Disney collectibles wasn't all that successful. I understand these programs are pretty complex and expensive to run, like how are you thinking about I guess, the future on the strategy around collectibles going forward? Is it something that Woolworths needs to continue to invest in?
Amanda Bardwell: Thanks, Tom, for that. Yes. So as I did call out, the collectible program didn't deliver to our expectations in the first quarter so far. And I think that's driven by a number of different factors. And certainly, we've run already a number of these Disney programs. And so I actually think it might be less about the collectibles itself and more about the fact that there is an element of fatigue as it relates to some of these types of collectibles that we've run now multiple times. You can clearly see that across the market, many competitors, both in Australia and New Zealand run collectibles and continuity programs. And so they are an important part of the retail shopping landscape.
Operator: Your next question comes from Nicole Penny at Rimor Equity Research.
Nicole Penny: Could you please expand more on the specifics of how the new Woolworths retail structure will feed through to meeting customer outcomes and beyond being a cost function and what will ultimately drive those improvements in execution and tangible customer benefits you referenced will flow through more in FY '27, please?
Amanda Bardwell: Yes. Thank you. I might start, Nicole with just an outline of what Woolworths Retail is and as shared over the last 4 months, we've appointed Annette Karantoni to lead Woolworths Retail. And that was both an important appointment, but also important that we took the opportunity to consolidate a number of different teams and businesses that were separately reporting into different leaders across Woolworths. So we've really simplified the reporting lines, but we've also taken the opportunity to flatten the structure so that Annette and the key leaders are able to really focus on the key categories that matter across our commercial and operations areas. As we've called out today, Australian Food sits at the core of the Woolworths Group, and this is a really important part of that food business. We've also shared our key focus areas. And that, in particular, is about recognizing we are the fresh food people, but we know that we can do better in terms of improving the quality of our fresh project. with many of the supply chain enhancements that we've got underway. We also believe that we can do a better job in terms of sharing knowledge with our teams in store and bringing that passion to fresh back. Range is a differentiator for Woolworth, and we look to continue to provide range as a differentiator, whilst also simplifying some ranges in some categories, which will make it easier for customers to shop but also make it more efficient for our supply chain. We haven't talked much about Own Brand today so far, but we also see Own Brand playing a really important role going forward. and 1 of the teams that we brought into Woolworths retail so that it was close to the business and close to customer Own Brand group. And we see real benefits in our category and Own Brand teams, planning together and successfully launching more ranges across Own Brand, particularly in that better tier. We've got great coverage in the opening price point space. We see a real opportunity in the better tier. And then we lead on eCommerce now. And what we can see from customers is despite the fact that we've got a very value-conscious customer and market, they are valuing convenience, and we're seeing really strong double-digit growth coming out of our eCommerce businesses both for delivery and also for pickup. They are the things that we believe will differentiate Woolworths Food going forward. That, of course, needs to be underpinned with what we've talked a lot about today, which is consistent value but also great customer and retail execution. And so that's what the team is very focused on. The ways in which we would measure that. We've also shared with you today so we'd be looking for an increase in fresh performance. And in fact, our fresh performance we're very pleased with over the quarter just concluded and into Q1. We want to grow our connected customers. They are those customers that shop in-store and online. We know that they're our most valuable. We know that they also spend more with us as a result. We want to introduce those Own Brand better tiers so that we can improve our margins but also improve the range optionality for our customers. We want to improve value perception and we've started that journey, but it is about building customer trust over time. And all of that should deliver sustainable EBIT growth for the business and ultimately for our shareholders. So that's what the W Retail business is absolutely focused on. Thanks, Nicole.
Operator: Your next question comes from Richard Barwick of CLSA.
Richard Barwick: I've got -- just following on from Bryan's question, he was sort of squeezing the voice of the customer because there's lots of, I guess, responses from you and the team saying that the voice of customer is heading in the right direction. But obviously, right now, you're not getting the sales that you want and investors want. So I guess just to clarify this, if we can. Does that mean that even though your Voice of Customer might have been improving, in absolute terms, are those scores still below that of Coles and so that's why you have a weaker momentum? Or is there another factor here that perhaps there's a bit of a mismatch. The voice of the customer is about is a bit of a lagging indicator in that customers will tell you what they want, but good retailings about anticipating what a customer wants before the customer knows they want it. So can you just provide a bit of background, yes, just so we better can better understand the link between this voice of customer, what's happening there and the sales outcome?
Amanda Bardwell: Yes. Thanks, Richard, for that question. I Understand, I would actually say that voice of customer and the tracking of things like price, trust, value for money, they're lead indicators for us and it quite often takes some time for that to flow through into momentum. The reason that we're talking to it is because we're focused as a team on setting up for the mid- to long term. And that is about building price trust and a sustainable business on the go forward. And we see those metrics that we've talked about today improving voice of customer scores on all the things that matter most, frankly, to customers as a good lead indicator. However, momentum matters in retail as well. And so that does need to be supplemented the right promotional programs, relative to what's happening in the market, and it's clearly a highly competitive market. What we want to do is stay focused on our plan which is to set the business up for the long term but make sure that we have got the right levels of momentum as we do that. And we've shared today, we're certainly not happy with the momentum that we're seeing in a relative sense from the Australian Food business in the third quarter. But to come back to your absolute question, we see those metrics as lead indicators, which is why you've probably heard us talk about them a lot today.
Richard Barwick: And then just to sort of round that out then, Amanda, so obviously, as you said, they are lead indicators but with a lag, are you prepared to make a comment as to when you think you'd close that momentum gap?
Amanda Bardwell: Yes, Richard, I wouldn't be talking about a closing of a gap as it relates to Voice of Customer and NPS, we're actually very satisfied with the steady improvements that we've called out from Voice of Customer perspective. We're really clear and focused on the fact that we need to build momentum across this year. And that's what you should expect to see us deliver over this year and into the following years. I don't want to get caught in a -- it's all about the quarter. This is about multiyear setting the business up in a sustainable way and short-term actions. So it doesn't deliver the right long-term outcomes for shareholders is not what we're going to be focused on.
Operator: Your next question is from Craig Wolford at MST Marquee.
Craig John Woolford: I just wanted to ask on BIG W. I'll make it a 2-part question. One, just a clarification of the reduction in the funds employed which did drop quite a bit. But I think the fundamental question, I was intrigued by the comment about separating the IT systems, I'm drawing too long a boat here, it does seem intriguing that you would do that. Can you give some further background on that as well?
Amanda Bardwell: Thanks, Craig, for the question. I'll take the second part of your question, and I'll throw to Steve on the ROFE. So we have, as you know, completed a strategic review of all of our businesses and taking action across a number of different businesses, whether it's closures and consolidation. We've also looked at businesses like New Zealand and Petstock and PFD where we see real potential going forward. From a BIG W perspective, we've been very clear that the results in F '25 was disappointing and the team have put forward a very clear under transformation plan but execution plan to improve those results and deliver profit in the year ahead and positive cash flow. In terms of the systems, what we're recognizing through that discussions with the team is that providing BIG W the right level of flexibility and independence when it comes to technology platforms and processes actually sets BIG W up for success in the future. And so as you know, we always have our IT road map, and we're looking at different updates and upgrades that might be required. And so the one that's come up recently for us is in BIG W, we're seeing a huge amount of growth coming from digital and eCommerce. And we have the opportunity to consider whether or not we do a full group solution on our eCommerce platform across food, BIG W and our other businesses or whether we recognize that BIG W could benefit from having its own eCommerce platform. And as we've assessed it, that is a good example where it's actually better for BIG W to have its own bespoke platform that will enable it to have the right agility to be able to respond in the discount department store space. So that's what we're calling today is just the opportunity to be able to create flexibility for BIG W going forward. And the team understand and, in fact, very supportive of that change that we're making there. On your ROFE question, I might just throw to Steve to close that one out.
Stephen Harrison: Yes. Thanks, Craig. Look, you would have seen in our significant items, we did announce an impairment of BIG W of $346 million. And so the main reason why you've got a reduction in funds employed in the ROFE calc is that impairment going through. And we've also seen leases continue to go down as we reduce the WALE for the average lease term in BIG W, which is now less than 6 years.
Craig John Woolford: So was the impairment on leases as well? Like it was there because it's just read...
Stephen Harrison: No, the impairment effectively is on assets, intangibles and software above store effectively. And so the lease reduction is just the lease book winding down as we become very focused on shorter-term leases in BIG W.
Operator: Your next question comes from Michael Simotas at Jefferies. Michael Simotas your line may be muted. You are live into the call.
Michael Simotas: Sorry, can you hear me now? .
Amanda Bardwell: Yes, we heard you Michael.
Michael Simotas: Just interested if there's much variability that you're seeing in Australian food across categories. Amanda, you called out that you're quite pleased with how fresh is going. Are there any other categories you'd call out where you feel like your performance is quite robust. And then contrary to that, are there any where you think you need to do a bit more work?
Amanda Bardwell: Yes. Thanks, Michael. We don't normally call out too much on category. I just talk at a broad level. So we are pleased with the momentum we're seeing in sales growth in fresh, both in fruit and veg and in meat. We're also pleased with the progress we're seeing in some of our chilled categories. Everyday needs, as we know, has been challenging. And that really is not deteriorating, but it's relatively muted, I would say. And then in pantry, there's actually a mixed result. Some categories are doing really well, and we're delighted to be seeing growth with achieving there. And then others are not quite where we'd like to see it. So it is a mixed performance across the different categories.
Michael Simotas: And is there a bit more sort of variability across categories than you would normally see in the business?
Amanda Bardwell: It's very dependent on really what's happening. So if you take fresh, for example, we have seen a level of inflation, but also great quality of fresh coming through. As a complete aside, I just think it's fascinating what's happening with protein. At the moment, there's a real protein obsession as we know. And so in the meat category, [ lean meat steak ] Annette I know you're calling that out the other day, are really growing incredibly fast. So there are those sorts of variances we're seeing. And if we want to follow the protein trend, you could take that through the chilled as well. But no, I don't think it's vastly different to what we would normally see. And the everyday needs categories, obviously, the category we're very focused on. And I'd say it's in a stabilized state at the moment, and there's more for us to do to be able to activate and grow that when we go forward.
Operator: Your next question comes from Bryan Raymond at JPMorgan.
Bryan Raymond: Just one on stock loss and a fair bit feedback around at picking up at Woolworths. As Coles has invested, you obviously, you guys have got [indiscernible], which you invested more recently, have you seen much of a headwind on gross margins in the second half '25 or full year '25? And how is the current run rate? And what does that maybe mean for FY '26 and how is that built into your guidance?
Amanda Bardwell: Yes. Thanks, Bryan. We've called out a couple of things. And first is the increasing levels of acts of violence and aggression, which is just really disturbing it is a great concern to us in terms of the safety of our team. You turn up to do your everyday job and serve customers in your local community and should not be subjected to levels of aggression and violence our team are. So that is particularly concerning and we've been very focused on improving the safety arrangements for our teams. When it comes to stock loss, I would say, stock loss in the first half was there or thereabouts in terms of previous trends. So small uptick but nothing that we wanting to draw too much attention to. In the second half, we did see stock loss accelerate and actually move above or move to levels we've not seen for some time. So it is a concern to us, and we've taken action across our stores in the second half and into and looking ahead into this half to substantially upgrade and improve a number of stock loss initiatives, whether they be exit gate, trolley locks et cetera, to just improve our performance as it relates to stock loss. So yes, it is something that we're very conscious of. I'm pleased to say those actions are actually seeing positive results. And we'll continue to be upgrading many more stores as we go forward.
Bryan Raymond: And can I just follow up, how is that built into your guidance for food that I think mid- to high single digit growth at assumptions around theft?
Amanda Bardwell: Yes, we're comfortable with the assumptions that we've made around stock loss, and that's included within the guidance that we've shared today, and we're continuing to track that, as you might imagine, very, very closely. And so far, the actions that we've taken in the second half are seeing positive results in the first 8 weeks of this year. But of course, we need to continue to monitor that.
Stephen Harrison: I mean, Bryan, there's a lot of moving pieces in GP. As you know, stock loss is just one of them. I don't think we'd try to give a guidance statement on stock loss other than to say we're very focused on improving it.
Operator: That concludes our question-and-answer session for today. I'd now like to turn the call back for closing remarks. Thank you.
Amanda Bardwell: Thank you for joining us today. We've shared that we're not satisfied with the performance that we've delivered over F '25. We've also taken the opportunity to share with you our long-term aspirations for the Woolworths Group and what you should expect for us on the go forward. We have an incredible set base with iconic brands, a large customer base a loyalty program that's much loved, a digital advantage, the widest network in Australia, an incredibly experienced team, and we look forward to delivering improved results for our shareholders and for our customers going forward. Thanks for joining.
Operator: Thank you. That concludes our conference for today. You may now disconnect your lines.